Operator: Good day ladies and gentleman. Thank you for standing by. Welcome to Oxford Industries Incorporated second quarter 2008 earnings conference call. (Operator Instructions) I would like to hand the conference over to Ms. Anne Shoemaker, Vice President, Capital Markets and Treasurer.
Anne Shoemaker: Thank you Nicole and good afternoon everyone. Thank you for joining us today. Before we get started I would like to point out that some of the statements made on this call as part of the prepared remarks, or in response to a question, which are not historical facts may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results may differ materially from those projected in such statements due a number of risks and uncertainties which are described in the company’s annual report on Form 10-K filed with the Securities and Exchange Commission on July 31, 2007 or in our subsequent filings with the Securities and Exchange Commission. A copy of this report is available online, or upon request from Oxford’s Investor Relations department. Oxford disclaims any duty to update any forward-looking statements. And now I would like to introduce today’s call participants. With me today are Hicks Lanier, Chairman and Chief Executive Officer; Doug Wood, Chief Operating Officer of our Tommy Bahama Group; Tom Chubb, Executive Vice President and Scott Grassmyer, Controller. Thank you for your attention, and now I would like to turn the call over to Hicks Lanier.
Hicks Lanier: Good afternoon and thank you for joining us on the call. This afternoon we reported our financial results for the fiscal quarter ended November 30, 2007. We are pleased to have achieved second quarter results consistent with our plan and improved over last year’s second quarter. Our consolidated net sales in the second quarter were $294.5 million, up 1.2% from last year’s second quarter. Diluted earnings from continuing operations for common share for the second quarter was $0.71 compared to $0.68 in last year’s second quarter. While we have achieved that plan, we are increasingly concerned that the challenges in the retail marketplace are not abating and that this has the potential to place pressure on both our sales growth and our margins in the months ahead. It is no secret that the difficult retail environment occurring in our second quarter continued through the holiday season and has impacted the affordable luxury market in which we sell our products. To do anything other than assume that the difficult market will continue would not be prudent. As a result, we have exercised a good deal of caution in constructing our inventory purchasing plan for this season. This has led us to reduce our net term expectations for December and January, the two months year-end stub period we report this year. These months are not typically a heavy shipping period for our wholesale business. As I have mentioned, the holiday sales period was generally soft. Additionally, our company owned retail stores did not meet December expectations and we do not expect a material pick-up in January. As a result, for the two-month period we might expect a slight sales decline versus the year-ago two-month period. Earnings should be in the range of breakeven to a modest profit. While this is obviously not good news we believe that our continued investment in our lifestyle branch will enable us to deliver long-term value to our shareholders. Tommy Bahama remains an excellent brand with long-term opportunities for growth in retail stores, e-commerce and other directed consumer activities, brand expansions and international expansion. We are also pleased to see that Ben Sherman has continued to elevate its brand in the U.K. and to establish a more significant global presence. I’d like now to turn the call over to Doug Wood, the COO of Tommy Bahama.
Doug Wood: Thank you Hicks and good afternoon. Net sales for the quarter were $110.3 million, up 2.3% from the second quarter of last year. Our operating income in the quarter was $14.3 million compared to $13.9 million in the second quarter of fiscal 2007. The sales increase was generated from new stores and our e-commerce website; the increase was partially offset from continued softness in our key wholesale and retail markets. We are buying carefully and planning conservatively in order to protect our margins and to avoid undue inventory risk, as we weather the challenges of the existing environment. While the economic environment is not great, we still see and are taking advantage of the strength of the Tommy Bahama brand. We started building an e-commerce website 15 months ago with the goal of building our top and bottom lines, as well as providing a showcase for the brand. We are thrilled with how the site has performed to date. It has enabled us to converse directly with the end-consumer in all 50 states and allows us to give them a total brand experience. We see this venture as another step in our pursuit of direct consumer vehicles. We continue to invest in owned-retail stores and as of the end of the quarter, operating 72 stores compared to 63 at the same time last year. We will continue to look for good retail locations and expect to open 7 to 10 new stores each year. Now I’ll turn the call over to Tom Chubb for details on our other three operating groups, and consolidated figures for the quarter.
Thomas Chubb: Good afternoon and thank you for joining us. I will start with Ben Sherman. Second quarter net sales for Ben Sherman were $45.6 million, an increase of 4% from the second quarter of last year. This sales increase resulted from favorable effects from foreign currency translation, as well as the opening of 3 new full-priced stores versus the year-ago period. This was partially offset by a decrease in sales in the U.K. The wholesale business, as we continue to restrict distribution of our products, this decline in wholesale sales, driven by our exit of the U.S. Evisu denim business following delivery of the 2007 collection. Operating income was $5.8 million, up 22.4% from the same period last year. The increase was primarily due to an increase in royalty income. Ben Sherman represents our first truly international lifestyle brand. In addition to our 9-owned full-priced retail stores in the U.K. and U.S., we now have 11 licensed retail stores on 4 continents and a wholesale presence in more than 35 markets around the world. Most recently, just a few days before Christmas, one of our licensees opened a Ben Sherman store in Shanghai. While Lanier clothes continues to be challenged by sluggish in the moderate tailored clothing market, particularly in the chain and department store chains and distribution. Second quarter net sales were $51.2 million, flat with last year. Operating income was $2 million, a decrease of 47.5% from the same period last year, primarily a result of the decline of the gross margins in this market. We continue to manage inventories carefully. At the end of the quarter, our inventory levels were below last year and our plan. We have made steady progress towards our goal of returning inventory to more optimal levels by the end of July 2008. Oxford Apparel net sales for the second quarter decreased 1.2% versus last year to $87.1 million. The sales decrease was anticipated as result of our focus on key categories and our decision to exit certain lines of business which we believe lack the potential to meet our profitability goals. Second quarter operating income was $7.3 million, an increase of 39.4% from the last year. This increase was primarily due to increased gross margins on reductions on SG&A as a result of our exit from certain lines of business. Corporate and other expenses increased $4.9 million for the second quarter transition period of 2008, from $2.6 million from the second quarter of fiscal period of 2007. The increase was due to the impact of LIFO accounting adjustments, the discontinuation of transition services fees related to the disposition of our Womenswear business and the closure of our internal trucking operation. I will now provide results on a consolidated level. Consolidated net sales from the second quarter were $294.5 million, 1.2% above the $291 million we reported in the year-ago period. Gross margins increased in the second quarter to 39% from 38.4% in last year’s second quarter due to the increased proportion of branded and retail sales, which have higher gross margins than the total nets. Selling, general and administrative expenses increased as a percentage of net sales to 32.2% in the second quarter from 30.6% of net sales in the second quarter of fiscal 2007, primarily due to expenses associated with operating additional Tommy Bahama and Ben Sherman retail stores. Second quarter royalty and other operating income increased to $5.5 million from $3.9 million in last year’s second quarter, primarily due to increases in both Tommy Bahama and Ben Sherman royalty income. As a result, operating income for the quarter was $24.5 million versus $25 million last year. Our second quarter’s effective tax rate was 32.1% compared to 36.3% in the same period last year. The decrease in the effective rate is primarily due to the change from the fourth quarter of fiscal 2007 in our assertion regarding our initial investment in a foreign subsidiary, which is now considered permanently reinvested. The impact of the short year on our estimated taxable income also decreases the effective tax rate. A more typical annual tax rate is 34% to 34.5%. Diluted earnings from continuing operations per common share for the second quarter were $0.71 compared to $0.68 in last year’s second quarter. For the first six months of the eight month transition period ending February 2, 2008, consolidated net sales decreased of $532.4 million from $575.1 million in the same period last year. Diluted earnings from continuing operations per common share in the first six months decreased to $0.98 from the $1.31 in the same period last year. Total inventories at the end of the second quarter increased 1.4% from last year to $140.9 million. As Hicks mentioned, we are being careful with our inventory levels and we are comfortable that we do not have significant risk from excess inventory. As previously announced, we entered into a $60 million accelerated share repurchase agreement on November 8, 2007 to purchase shares of our common stock. The sale repurchase was funded through borrowings under our revolving credit facility. As of the end of the second quarter, approximately 1.9 million shares have been delivered. We may receive additional shares upon completion of the term of the agreement. Due to the timing of the receipt of shares and the interest expense, the share repurchase did not have a material impact on our diluted earnings per common share for the second quarter of transition period 2008. With respect to future operating results, we are moderating our expectations for the two month period commencing December 1, 2007 and ending February 2, 2008. As a result, we now expect net sales for the two-month period to be below the comparable period last year and net earnings for the two month period to be in the range of breakeven to a modest profit. For the two months ended February 2, 2007, net sales grew $164.4 million and diluted earnings from continuing operations per common share were $0.16. We expect to provide guidance for our fiscal year January 31, 2009 during the first week of February of 2008. Thanks for your attention, and now I’ll turn the call over to Hicks for some closing comments.
Hicks Lanier: Thank you Tom. There is no question in my mind that we are in for a challenging period in retail for at least the next couple of quarters. The short-term key to success in this kind of environment is to plan appropriately and execute well. That is exactly what we intend to do in the quarters ahead. Although it is always a little disheartening to see the environment take a turn for the worse, in times like these it is more important than ever to protect our brands. We do not intend to chase top line sales in the short-term, through over-promotion and inappropriate distribution, at the risk of the long-term integrity of our brands. We also believe it is important for us to invest in Tommy Bahama and Ben Sherman to foster that long-term growth and brand development. As Oxford Industries continues its transformation into a diversified branded apparel company, we will continue to take strategic steps to create new and lasting value for our shareholders. This could include acquisition of additional lifestyle brands. I would like to thank you for your attention and continued support. With that, we will open it up for questions.
Operator: Thank you Mr. Lanier. (Operator Instructions) Our first question is from John Rouleau – Wachovia Securities.
John Rouleau – Wachovia Securities: It sounds like in Tommy Bahama similar to the last the quarter you saw a more pronounced weakness in key markets; I think last quarter you called out California, Arizona, and maybe Nevada. Could you comment on that a little bit, and it sounds like it was both on the wholesale and the retail side; can you give us some idea of the comps, and maybe add a little bit of color between wholesale and retail. Thanks.
Doug Wood: Just as we talked about in the last call, in the California, Arizona, Nevada and Florida markets we did continue to see the same type of weakness that I think has been pretty well covered now in the press that in these markets, it is very tough. We do have both retail and wholesale and we are seeing it in both sets of our channels. On our retail side we do have more probably exposure because I think two-thirds of our retail stores are in those markets. And so we did see the same level of impact that we saw in the first quarter there. Without getting into specifics on comp-type recording, I think we have been more comfortable in saying, just overall the weakness in the business – if I were to just characterize it – and I don’t know if we can even …
Hicks Lanier: I think the bottom line is that we did not make our initial plans in our retail stores in those four states. Whereas, in the rest of the country, we were close to our plans. Those continue to be challenging for us and we are planning for that challenge to continue through the next couple of quarters.
Doug Wood: I think just to add to that, if you do look, especially to second quarter, where we actually saw us beat our expectations in the mid-West and that was in both the retail and wholesale market, so it’s really in those four markets that we really got into trouble.
John Rouleau – Wachovia Securities: Okay. If you didn’t quite make sales plan, I am assuming that that inventory is a little higher than you would like it to be, which means that perhaps margins might be a little lower than you would like them to be going forward. Does that sound logical or can we use the last two quarters where operating margins have been trending around the 13%; could we use that as a metric or could they potentially be under extra pressure because of a little extra inventory?
Hicks Lanier: I don’t expect that inventory is going to offer that dynamic. I think the key dynamic in Tommy Bahama is we will be entering the best time of the year for Tommy Bahama. Generally, our operating margins are highest through the February through May period than they are in any other time of year so even with all the challenges we would hope we would see an increase in those margins within the 3 to 5 months coming up.
John Rouleau – Wachovia Securities: Right. Fair enough. Then quickly on the Ben Sherman operating margins - a very nice operating margin for that brand for the quarter - anything special there or is that sustainable going forward?
Hicks Lanier: Tommy Bahama we’ve been through some periods where the operating margins were not as high as usual; the timeframe that we are reporting on is historically one of the highest for Ben Sherman in terms of operating margins.
John Rouleau – Wachovia Securities: With the environment being difficult out there, what does that do to the environment as far as potential buyers, potential sellers, the M&A environment. I am not specifically asking about you making an acquisition but you potentially selling something like Lanier or Oxford or at least pieces of it, does that dampen the environment at all out there? Or does it make you that much more convinced to follow the path?
Hicks Lanier: I would say that the issues in the debt markets certainly do not enhance selling things particularly to private equity firms who count on cheap debt. I don’t think anything that is happening externally in the environment has caused us to change our basic strategy at all.
John Rouleau – Wachovia Securities: I think on the last call you had said strategically when you look at Lanier and Oxford, at least strategically there is really nothing in there that is strategically a key part of your focus going forward, is that still accurate?
Hicks Lanier: I wouldn’t state it in quite those terms at all. We have some very good businesses within those units and we are constantly striving to make them better and more market appropriate. We will certainly do that as long as they are part of the company.
John Rouleau – Wachovia Securities: Okay great. Thanks.
Operator: Your next question is from Jeff Blaeser - Morgan Joseph.
Jeff Blaeser - Morgan Joseph: Couple of quick questions. One, you mentioned the weakness on the tailored market, your per shares came over flat year-over-year, reversing on some year-over-year sequential trends. Was that deferred shares that didn’t move forward? Should we see some improvement on that end?
Hicks Lanier: I think there were some deferred from prior periods that were shifted to this period. It’s pretty well a weakness industry wide in that marketplace; although the top line held up on margins we are challenged still in this quarter. And that is the main reason in the decline in operating profits.
Jeff Blaeser - Morgan Joseph: Okay. On the Oxford Apparel side, the exit from some of the product lines, is that complete, or I think you were looking for about $60 to $65 million on a full-year basis?
Hicks Lanier: Most of that is essentially complete.
Jeff Blaeser - Morgan Joseph: It is complete?
Hicks Lanier: You can see that the margins have gone up, the gross margins in the SG&A has gone down pretty significantly and as a result our operating profit as a percentage of sales has gone up and that was exactly our objective.
Jeff Blaeser - Morgan Joseph: On the share buyback, do you know how many shares you anticipate receiving, or how much money you have left for the share count going forward to reduce that number?
Hicks Lanier: That depends on the dynamics almost daily, but at this point we feel quite – and I’ll get Tom Chubb to give you more specifics on this – but I have to say that we think we have the [margin] on the share we bought so far and we consider it a successful process to date.
Thomas Chubb: As of the end of the quarter, we had in I think 1,938,000 shares. Based on the performance of the stock to date, if that were to continue over the next several months, we would get in quite a few more shares. It ultimately the number of shares that we will get in will depend on the trading price over the next couple of months.
Jeff Blaeser - Morgan Joseph: Would you say you are 60-70% through with the initial program? Percentage-wise, just for our modeling purposes?
Hicks Lanier: You can use the figure of 2,500,000 give or take.
Jeff Blaeser - Morgan Joseph: Thank you very much.
Operator:  Your next question comes from Susan Sansbury - Miller Tabak.
Susan Sansbury - Miller Tabak: I have a long list of questions here, but let me see if I can pursue a common theme. With respect to the stub period, you modestly lowered your sales expectations but essentially eliminated the opportunity to make any money.
Hicks Lanier : Let me interrupt you. That is not quite what we said. I think when you’re talking about a two-month period and that two-month period is December and January, which are very weak shipping months to our wholesale customers, you are talking about such a small period that it’s somewhat inconsequential. I wouldn’t get too wrapped up in that scenario.
Susan Sansbury - Miller Tabak: Can you help me parse inventories? They are up 14%. There is a component there of leftover Lanier business. Can you give me an idea of how much core inventory is up and how much of it is retail and how much of it is wholesale?
Hicks Lanier : Well, the inventory is not up 14%. I think it was 1.4% so you’re off a decimal point there.
Susan Sansbury - Miller Tabak: Then I don’t have restated inventory levels.
Hicks Lanier :  It’s pretty flat during the period that we’re looking at. We have acknowledged in the last call that we had excess inventory in the tailored clothing sector which we were working off and quite frankly during the first half of this year we have reduced that inventory significantly and expect significant further reductions in the six months ahead of us. So we’re pretty much on plan with that inventory reduction. We do have increased inventory in Tommy Bahama principally as a result of the additional stores that we have opened. So we are totally focused on risk management, inventory management. It is difficult to do when you are in an environment like we’re in now, but I would say today we feel pretty good about that process.
Susan Sansbury - Miller Tabak: I take it you restated the inventories for this time last year? It’s up 1.4% from this time last year?
Thomas Chubb: Yes. It’s about $2 million.
Susan Sansbury - Miller Tabak: Is Lanier inventory down from the 2.1?
Hicks Lanier :  It’s particularly down from six months ago. It’s probably pretty level with what it was a year ago.
Thomas Chubb: It’s down slightly.
Hicks Lanier :  But we expect significant impact between now and July of 2008.
Susan Sansbury - Miller Tabak: Can you split the royalty income between Ben Sherman and Tommy Bahama for me?
Hicks Lanier :  We have not elected to do that at this point.
Susan Sansbury - Miller Tabak: Can you talk about the Tommy Bahama order backlog at this point, for the wholesale business?
Hicks Lanier :  I think we’ve sort of covered that in talking about our spring projections.
Operator:  Your next question comes from Sean Nelson - Piper Jaffray.
Sean Nelson - Piper Jaffray : You talked about some of the pressures in the affordable luxury segment. Have you guys seen anything on the retail sell throughs that would suggest that there have been price point shifts either within Tommy Bahama or within Ben Sherman with either of those brands?
Hicks Lanier :  Doug, why don’t you take Tommy Bahama?
Doug Wood: When you’re saying, Sean, price point shifts up or down, I imagine it is what we’re seeing on retail. If anything, with Tommy Bahama if you were to compare what our average prices were this year as opposed to last year, our prices have actually been going up and not been going down. That has a lot to do with the direction in which we’re taking the product and where we believe our customer still sees the value of the product that we’re delivering. So, with regard to the Tommy Bahama product, we’re still delivering a full-priced product and, if anything, we’re seeing the prices creep up.
Hicks Lanier :  I think the same could be said for Ben Sherman. We’re basically in both of these brands trying to elevate them, not react to a cyclical external environment and start dropping prices.
Sean Nelson - Piper Jaffray : I guess my question was more on have you seen more demand for the entry point products, potentially the aspirational customer reaching up? Have you seen more of that decline at the entry point products? But it sounds like you’re seeing higher sell-throughs?
Hicks Lanier :  Higher price points.
Sean Nelson - Piper Jaffray : Also on the TB women’s business, can you talk about how that’s doing this year and any trends that you’re seeing within the women’s business?
Doug Wood: What we’re seeing with regard to women’s is twofold. First of all, let me really talk on probably where our greatest strength is, our Tommy Bahama’s women’s swim business. I think it’s probably been 18 months to two years ago that we brought swim in-house and it has actually been doing both very well at wholesale as well as in our own retail stores. We’re really seeing some success there. With regard to our sportswear business, actually that business has stayed flat over the last probably two or three quarters. If anything, we’re looking at that businesses in our own retail stores and trying to make that more successful, but it has been flat over the last couple of quarters.
Sean Nelson - Piper Jaffray : Any target on how big you would like that business to become as a percentage of Tommy Bahama?
Doug Wood: Well as of right now, I would be happy to actually start to see some growth on the sportswear side and I think it’s pretty exciting. If we spend a minute on what we think the women’s business should be, I think we talked about it on other calls. When we believe we get the product right for our customer, we absolutely believe it should be a good part of our total business.
Hicks Lanier :  Absolutely. I think that’s one of the biggest opportunities we have. We’re putting the infrastructure and investment in place to achieve that goal. You might comment about the design.
Doug Wood: Just in this quarter in October we actually opened up our design center where we moved all of our women’s design team and operation from Seattle down to Pasadena. Really, we looked at the opportunity to upgrade our staff and our resources and really had a recommitment to our women’s business. That transition got completed before the end of last calendar year. So we actually, as Hicks just mentioned, in a lot of ways we’ve doubled down on our investment because of the opportunity that we see for the brand and the overall business.
Sean Nelson - Piper Jaffray : Finally on Ben Sherman, you mentioned that the operating margins obviously look good at Ben Sherman. You mentioned that it was probably the highest point in the cycle for the year. You also talked about foreign exchange benefits. Is there any way you can quantify the foreign exchange benefit that you received in the quarter and then talk about how Ben Sherman is performing in the international space? Any idea on the split between the US and UK on the Ben Sherman side? It sounds like you have nine stores, but is there anything -- obviously you have a licensing segment -- but anything on how much as a percentage of sales from international and domestic on Ben Sherman?
Hicks Lanier :  Well, the UK business continues to be the largest segment, but as a percentage of the total it is decreasing as we expand internationally. As you may or may not know, we have been going through a fairly rigorous process to try to elevate the brand in the UK to the same status we have in the US and the rest of the world, which is net, we have dropped off our bottom tier retailers and have added on to the more aspirational retailers over there. For the first time, our spring ‘08 line we’ll have the same product line everywhere on the globe and it’ll be the upscale aspirational line. So while the process in the UK is sort of gut-wrenching, but it’s what we need to do for the brand and we’re totally committed to it. As it relates to the license stores, we have had a very well-developed business in Australia for quite some time at Ben Sherman, but we’ve actually moved one of our international directors to Hong Kong this fall and we have got a lot of activity going on in South Korea with a partner and Mainland China and Hong Kong and in Singapore. As Tom mentioned in his comments in the call script, we opened a store in a very prestigious shopping area in Hong Kong the week before Christmas and it’s not very long, but the results to-date are very encouraging and we’re delighted with the format of the store and the brand message it’s sending. We’ve also opened stores within the last month to six weeks and two stores in Shanghai. So we are really setting up for a meaningful international business there.
Sean Nelson - Piper Jaffray : Any comment on how much the foreign exchange benefit was for Ben Sherman in Q2?
Thomas Chubb: Our second-quarter last year exchange rate, the rate was $1.91 was the exchange rate and it’s up 7% to $2.05 for this year’s quarter. So it’s about a 7% movement in the translation rate on the pound to dollar.
Operator:  Your next question comes from Robin Murchison - SunTrust.
Robin Murchison - SunTrust: I just want to circle back to the Tommy Bahama women’s for just a second. I think you said that the sales had essentially been flat for the last two to three quarters?
Doug Wood: That’s correct.
Robin Murchison - SunTrust: Can you speak to margins? While it may not be what you want given what is going on in the rest of women’s apparel, that actually may not seem so bad.
Doug Wood: Well, I think it has a lot to do, Robin, with our expectations of what we want to see the business be doing, especially, in our own retail stores. Our expectation is we see this as a huge opportunity for us. So we are continuing to invest as we said and do expect it to do better. I think overall, the margins over those quarters were probably pretty consistent. I don’t think we’ve seen margins significantly deteriorate. If anything, I think they’ve probably stayed about where we projected them to be. Having said that, it had a lot to do with the fact that we don’t have a huge penetration with regard to wholesale and a lot of this is in our own retail stores. So we’ve been able to manage our inventories such that we can hold our margins better.
Robin Murchison - SunTrust: I was wondering if someone could compare/contrast what you see at the department store level versus what you see at the mass retail level. I understand, Hicks, you were saying earlier, I think the inference is they’re making their sales but at what margin? Do you see greater pressure at one group versus the other group?
Hicks Lanier :  I think that phenomenon is pretty widespread, unfortunately. I think people talk about we’ll end up with maybe a 3% increase, which on the surface doesn’t sound that bad, but the question is how did you get there? I think the answer is pretty obvious. It was through pretty dramatic promoting across the board, particularly at the department store level and the mid-tier level and the mass level. You can put a hand over all of them, the same game was being played.
Robin Murchison - SunTrust: I’m wondering if you could contrast -- and Doug this is may be for you -- those four key Tommy Bahama markets this quarter versus last quarter; under pressure both quarters, but did you see that pressure grow, get less, or just maintain the same?
Hicks Lanier : Well quite frankly in those four states -- and Doug has got more detail on it than I do -- but it hasn’t just been the last two quarters that we’ve been challenged in those four states. They have been sort of the poster child for this whole residential real estate decline and also a drop-off in traffic of tourists. Those two factors have pretty dramatically affected us. So we’re learning how to cope with this environment. We don’t like it, but I think we’re learning to live with it. We see it continuing probably for at least another couple of quarters, so we’ve got to plan accordingly.
Operator:  Your next question comes from Eric Tracy - BB&T Capital Markets.
Eric Tracy - BB&T Capital Markets: Doug on Tommy Bahama, if you could give us a sense of a lot of the sub brands have been trying to augment around the core men’s business, how they continue to perform in light of obviously a very weak market? Do you continue to incubate those? Tommy Bahama Relax, Indigo Palms, Island Soft, how those perform both at retail and then at wholesale? Secondly, just the plans, particularly in light of the weakness domestically, any plans of accelerating what is clearly an untapped international market for Tommy Bahama?
Doug Wood: Yes. Eric, there’s a couple, but let me pick on the sub brand question first. At the end of the day, the power of Tommy Bahama really comes from Tommy Bahama the name and the brand we’ve spent 14 years building. So, even though it’s Relax and Indigo Palms and Island Soft, at the end of the day, Tommy Bahama is attached to all those names. What we’ve seen in, and I am talking about the second quarter specifically, is that Relax is, as a concept in Tommy Bahama, this much more relaxed swim, not as dressy of a concept, has really done terrific. The denim is a little bit cyclical because it just depends on the time of year and performs based also on how denim is doing. Because of where we’re positioned, we’re not looked at as designer brands, we haven’t got caught into that. So overall I would say that our sub brand approach -- and I almost cringe at calling it a sub brand because at the end of the day it’s building all these different categories and trying to get at what we deem more the man’s closet.
Hicks Lanier :  It’s more of a product extension approach than it is a sub brand...
Doug Wood: Exactly. So I will tell you that overall we’ve been very pleased with it. We actually saw it in this quarter that through extending these product categories, that’s actually helped us hold our position. Now with regard to international, I think we mentioned it last time. We opened up a store in Australia back in I believe late August/September. When I say we – a licensee opened up a store. We’re now looking for a second retail store in Australia. And actually, very favorable results at the first store. We actually are accelerating our idea of distributing wholesale in Australia for later next year. So Australia really for us is going to be a real first foray into the international market, not counting that we’ve been in Canada for I think the last probably eight to ten years. That’s an update on international.
Eric Tracy - BB&T Capital Markets: Fair enough. Maybe just on retail, I know you want to continue to commit capital and invest behind retail. But any sense, given the current environment of somewhat slowing that pace of seven to ten units per year? Are you going to continue with that? Any update in terms of the ultimate saturation point that you all feel for the retail concept?
Doug Wood: We certainly are going to continue to expand retail. If anything, I guess if there’s any positive thing you can say on what’s going on in the marketplace is that it does -- because other retailers are having to actually hold back their expansion retail, it actually opens up locations that quite frankly we’ve tried to get into. So it actually assists us in the expansion of our retail strategy, as well as it keeps rents where we like to see them. So there’s actually some positives to going out and expanding retail in this environment. We definitely are going to continue to do that because it feeds directly into our strategy of taking the Tommy Bahama brand much more to this direct to consumer, whether it be our own retail stores or e-commerce or whether it be a catalog sometime in the future.
Eric Tracy - BB&T Capital Markets: Hicks, I seem to ask this every quarter. But just on the M&A front, just trying to gauge where you are. I know you’ve got a lot on your plate and certainly the economic conditions are tough, but it seemed like at one time when valuations were so high and private equity were playing in the space it was really difficult to make any moves and now on the flip side, credit is very tight and difficult for many buyers if you’re looking to divest of the legacy businesses. Can you just give us a sense of if you’re down the path with any moves, what is attractive? Is there a certain size deal that you’d like to get done? Has anything changed on that front?
Hicks Lanier :  Well, there’s a lot that’s changed.
Eric Tracy - BB&T Capital Markets: I mean in terms of your strategic repositioning and what you’re looking at.
Hicks Lanier :  I think that our focus has become much clearer and much narrower as to the types of things we’d be interested in. That also means we are much more selective than we might have been several years back.
Eric Tracy - BB&T Capital Markets: Which is a good thing.
Hicks Lanier :  Because I think it’s just an evolution of our strategy of having a really good feel of the types of things that we would want to add to the portfolio. We see some opportunities out there. I think one of the issues, obviously, is for sellers to get used to the new environment in terms of valuation. That may take a little while.
Eric Tracy - BB&T Capital Markets: Any sense of that at least beginning, hopefully, that they’re having a little bit better understanding of that?
Hicks Lanier :  I think it’s starting to happen. Obviously some of the sellers also are coping with the same environment that we are on a day-to-day basis with their businesses so their numbers are probably not as robust as they had hoped they were when they anticipated selling.
Operator:  Your next question comes from John Rouleau - Wachovia Securities.
John Rouleau - Wachovia Securities: Correct me if I’m wrong, but I think Tony Margolis, I think his current contract is either up or coming up. What are the intentions there? What’s his involvement day to day there, or has there been any change?
Hicks Lanier : Tony, as you might recall, at the end of last May we ended the four-year anniversary of the acquisition of Tommy Bahama and we had a four-year earn out. Despite the fact that the earn out was over, Tony re-upped for at least another year. But he also turned 65 last August. As you might recall, by our bylaws, he rotated off of our board at that time because of his age. We are and have been in the process of building our infrastructure and working on succession planning. But we are fortunate to have him to help us in that process.
John Rouleau - Wachovia Securities: He is willfully helping in that process, then?
Hicks Lanier :  Absolutely.
John Rouleau - Wachovia Securities: I know you’re not giving guidance and I respect that. It might be helpful if you could help us back into a 12 months January ‘08 type number. We have basically everything but February at this point. I know the fiscal year doesn’t include the May period, but we do have the May period that was reported a year ago. What we don’t really have is the February period. So anything at all to help us think about that one month or that four month period which would be February through May to help us back into a January ‘08 fiscal type number? Anything you can provide there to help us get there or think about that?
Hicks Lanier :  I think we’re going to be able to give you that here within three or four weeks with a lot of specificity. As Tom said, the first week of February we’ll be there. I think what I can tell you just as a general rule -- and we have said this several times during the call -- we are planning conservatively. This upcoming year starts the 1st of February. I think there’s not going to be anything dramatic on the top line, up or down. We feel that it will be an investment year for us in building our brands that we think is the thing to do in this environment because we have the ability to do it when some other people do not. I also think you can rest assured that we don’t anticipate any kind of dramatic fiasco on the horizon for us. We don’t like the environment we’re in but we think we know how to manage through it.
John Rouleau - Wachovia Securities: I appreciate the commentary. Thanks, Hicks.
Operator:  There are no further questions at this time. Mr. Lanier, I would like to turn the conference back over to you for any additional or closing remarks.
Hicks Lanier :  I think we’ve concluded our remarks. We want to thank everybody for joining us today, and we look forward to being back with you in roughly 30 days with the February guidance call. Have a good day.